Operator: Welcome to the LGI Homes Fourth Quarter 2019 Conference Call. Today's call is being recorded and a replay will be available on the company's website later today at www.lgihomes.com. We have allocated an hour for prepared remarks and Q and A. [Operator Instruction] At this time, I will like to turn the call over to Rachel Eaton, Chief Marketing Officer at LGI Homes. Ms. Eaton, you may begin. 
Rachel Eaton: Thank you. Welcome to the LGI Homes conference call discussing our results for the fourth quarter and full year of 2019. Today's conference call will contain forward-looking statements that include among other things, statements regarding LGI business strategy, outlook, plans, objectives, and guidance for 2020. All such statements reflect current expectations, however, they do involve assumptions, estimates, and other risks and uncertainties that could cause our expectations to prove to be incorrect. You should review our filings with the SEC, including our risk factors and cautionary statement about forward-looking statement section or discussion of the risks, uncertainties and other factors that could cause our actual results to differ materially from those anticipated in these forward-looking statements. These forward-looking statements are not guarantees of future performance. You should consider these forward-looking statements in light of the related risks and you should not place undue reliance on these forward-looking statements, which speaks only as of the date of this conference call. Additionally, certain non-GAAP financial measures will be discussed. The presentation of this information is not intended to be considered isolation or the substitute for the financial information presented in accordance with GAAP. Reconciliations of these non-GAAP financial measures to the most comparable measures prepared in accordance with GAAP are included in the earnings press release that we issued this morning and in our Annual Report on Form 10-K for the fiscal year ended December 31, 2019 that we expect to file with the SEC later today. This filing will be accessible on the SEC's websites and in the Investor Section of our website at lgihomes.com. Joining me today are Eric Lipar, LGI Homes' Chief Executive; and Charles Merdian, the company's Chief Financial Officer.  With that, I'll now turn the call over to Eric.
Eric Lipar: Thank you, Rachel, and welcome to everyone on this call. We appreciate your continued interest in LGI Homes. During today's call, I will share some highlights about our outstanding performance in 2019, then Charles will follow-up to discuss our financial results in more detail. After he is done, we will conclude with comments and what we are seeing this quarter and our expectations for 2020 before we open the call for questions. Let me start by saying this has been an excellent quarter and year-end for LGI Homes. At the start of 2019, we provided guidance announcing our expectations to deliver between 6900 and 7800 homes for the year. We also forecasted further growth and community count achieving 105 to 115 active communities by the end of the year and to deliver basic earnings per share to our investors in the range of $7 to $8, all while maintaining our gross margin at or near industry leading levels between 23.5% and 25.5%, and adjusted gross margin between 25.5% and 27.5%.  Today I am pleased to announce that for 2019, we met or exceeded our guidance in all areas.  As a result, this not only marks ours six full years as a public company, but highlights ours six consecutive year of delivering strong results to the market, reaching or exceeding our annual guidance in every metric. Our fourth quarter provides an impressive finish to 2019 with a record breaking 2,515 homes close, highlighted by our best month in LGI history with 1,052 closings in the month of December, bringing us to a record breaking total of 7,690 closings for the year and making 2019 our 10 consecutive year of closings growth. With 106 active communities at year-end, we met our community count forecasts, increasing community count for the year by 20% with the addition of 18 new communities, continuing our national expansion of the LGI footprint and broadening our reach to 31 markets in 2019. All 18 of the new communities were from outside the state of Texas, further contributing to our geographic diversification of our business. For the year, we achieved significant growth and wholesales revenue generating just over $1.8 billion, which represented a 22% increase in revenue over 2018. This was driven by an 18% increase in home closings combined with a 3.5% increase in average sales price for the year. These strong results enabled us to deliver basic earnings per share of $7.70, which is at the high end of our market guidance of $7 per share to $8 per share. Over the last six years since our IPO, we have grown substantially by expanding our operations from nine markets across four states to 31 markets across 18 states. As we have continue to grow, we have maintained the LGI culture demonstrating that our unique operating model is sustainable. We believe our employees are most vital assets and continue to make the difference, this through the dedication and outstanding performance of our employees that we are able to leverage our systems and processes to deliver exceptional customer service to more than 35,000 home buyers over the last 16 years, and we appreciate and thank you for your commitments, loyalty and hard work, which have produced another year of record setting results.  To share a few highlights from 2019, Houston where our company was founded was our number one market in 2019 with 1,246 closings. This established a new record for the most closings we have ever had in the Houston market and set a company record for the most closings in any market in a single year. We also have strong growth in closings and our Dallas-Fort Worth and Central Texas markets. We ended the year with 10 active communities and close a total of 990 homes, a DFW in 2019 an 8% increase over 2018. Central Texas, which consists of the San Antonio and Austin markets, also experienced strong results, ending the year with 955 homes closed, a 15% increase over 2018. A few highlights from outside the state of Texas, where that our Western division increased closings from 627 to 1,056 resulting in revenues of over $271 million compared to $151 million in the prior year. Also in the West, our first community in California generated over $55 million in its first full year of operations making it our number one community in terms of total home sales revenues. For the quarter, we averaged eight closings per community per month company-wide, a new quarterly record. On closings per community per month basis, we saw a strong performance across the nation. Our top three markets for the quarter were all outside of Texas. Great jobs to our Arizona team with Tucson and Phoenix finishing at our top two markets and closings per community for the quarter and also a great performance in Charlotte, averaging more than 12 closings per community per month for the quarter. One of the greatest accomplishments of the year, which I -- was averaging 6.7 closings per community per month company-wide. This matches the 6.7 closings per month from 27 team and 2018. That is three consecutive years of maintaining our absorptions at this industry leading level, while increasing our community count, expanding into a number of new markets, growing our employee base, and increasing our average sales price, which is quite an accomplishment. For the full year, our top three markets were DFW, but 9.8 closings per community per month, Houston with 9.4 and San Antonio with 8.8. For more detailed financial results, I will now turn it over to our Chief Financial Officer, Charles Merdian.
Charles Merdian: Thanks, Eric. Home sales revenues for the quarter were $605.6 million based on 2,515 homes closed, which represents a 42.5% increase over the fourth quarter of 2018. Home sales revenues for the year, totaled $1.8 billion a 22.2% increase over 2018. Our average sales price, was $240,815 for the fourth quarter of 4.9% year-over-year increase, and our average sales price for the year was $239,032 a 3.5% increase and in line with our annual guidance.  The increase in average sales price year-over-year is primarily related to our geographic mix with the addition of California and Nevada and our West division and increases within existing communities as a result of our complete home initiative. Gross margin was 23.5% this quarter compared to 24.1% in the third quarter down 60 basis points, primarily related to our increase in wholesale activity. During the fourth quarter, wholesale closed 344 homes or approximately 14% of overall closings impacting margins by 120 basis points.  As a comparison in the third quarter, wholesale closed 127 homes or approximately 6% of overall closings with a 60 basis point impact to gross margin. Excluding wholesale gross margins were consistent sequentially at 24.7%. Gross margin as a percentage of home sales revenue for the fourth quarter of 2019 was lower by 90 basis points from 24.4% for the fourth quarter of 2018, and this decrease in gross margin on a year-over-year basis, as a percentage of home sales revenue is primarily due to higher lot costs and higher capitalized interest costs recognized for the fourth quarter of 2019 as compared to the fourth quarter of 2018. Gross margin as a percentage of home sales revenue for the full year was 23.7% as compared to 25.3% for the prior year. The impact of wholesale closings on gross margin were similar on a year-over-year basis. We closed 583 homes during the 2019, or 7.6% compared to 466, or 7.2% during 2018. Our expectation is that wholesale closings will be similar as a percentage of our overall business in 2020, as compared to 2019.  Combined selling general and administrative expenses for the fourth quarter were 9.6% of revenues. The increased percentage of wholesale closings had a favorable impact on operating expenses as a percentage of revenue. For the full year, our combined selling general and administrative expenses were 11.4% compared to 12% in the prior year, a 60 basis point improvement and the lowest we have reported as a public company. As a percentage of revenues, we believe that the full year of 2020, we will continue to achieve operating leverage in our existing markets offset by initial operating costs in new communities. Overall, we expect SG&A as a percentage of revenue to be generally similar in 2020 compared to 2019, with up to 40 basis points of leverage improvement based on revenues. We typically expect the first quarter to have the highest SG&A ratio as our first quarter generally results in the lowest closings on a per community basis during the year. Pretax income for the quarter was $84.9 million or 14% of home sales revenue, an increase of 80 basis points over the same quarter in 2018. For the year, we generated $231.8 million in pretax income or 12.7% of home sales revenue. Our annual effective tax rates of the year was 23% and we believe our effective tax rate for 2020 will range between 23.5% and 24.5% for the full year.  We generated net income of $64.9 million or 10.7% of home sales revenue for the fourth quarter of 2019, which represents earnings per share of $2.69 per basic share and $2.52 per diluted share. In the fourth quarter of 2019 our convertible notes matured. We issued approximately 2.4 million shares on November 15th and for purposes of calculating basic earnings per share for the quarter, the average shares outstanding were impacted by approximately 1.2 million shares representing 24.2 million weighted shares outstanding for the quarter and we ended the year with 25.3 million shares outstanding.  For the year, we generate a net income of $178.6 million or $7.70 basic earnings per share and $7.2 diluted earnings per share. Fourth quarter gross orders for 2,717 and net orders for 2,113 and ending backlog for the year was 1,233 homes and the cancellation rate for the fourth quarter was 22.2% and for the year our cancellation rate was 20.6% of our 48,000 control approximately 20,600 of our 31,900 owned lots were either raw or under development and we ended the year with 3,715 homes in inventory in various stages of construction.  As of December 31 we had approximately $38 million of cash, 1.5 billion of real estate inventory and total assets of $1.7 billion. Also at December 31we had $699.6 million outstanding under our revolving credit facility and senior notes and our borrowing capacity was approximately $228 million. Our gross debt capitalization was approximately 45% and net debt capitalization was 43.6%.  At this point, I would like to turn it back over Eric. 
Eric Lipar: In summary, we had another impressive quarter and a phenomenal 2019 this last year in March, another year of outstanding financial performance, continuing the LGI legacy. Since commencing operations in 2003 we have constructed and sold over 35,000 homes have been profitable every year despite the downturn and have never taken an inventory impairment. A year ago as interest rates were rising, challenging affordability for our target, first time home buyers, we took the opportunity to evaluate and enhance our product offering with the introduction of our complete home and complete home plus packages.  This new added value and streamlined approach to our interior finishing offering was white the success contributing to our ability to maintain industry leading absorption and we believe we are well positioned for the future.  Now let me provide some guidance and thoughts on what we are seeing for the upcoming year. The first quarter of 2020 is off to a great start with 434 closings in January representing a year over year increase of 61.3% February will also be a strong month of closings for us. We expect to close between 500 and 600 homes this month representing significant year over year growth compared to last year's February total of 393 closings.  Based on our strong performance to date and assuming a continuation of today's housing market conditions for the remainder of this year, we offered the following guidance as we previously announced we expect another strong year of closing growth ending of the year within the range of 8,400 and 9,400 homes close.  We believe throughout 2020 we will continue to grow our community balance primarily by going deeper in our existing markets and end the year with between 120 and 130 active selling communities. We believe our average sales price in 2020 will be similar to 2019 ending the year with an overall average sales price between $235,000 and $245,000. Guidance for gross margin, we'll leave between 22.5% and 24.5%. We expect adjusted gross margin which excludes the effect of interest and purchase accounting will continue to be strong ending the year between 24.5% and 26.5%. In summary, we are very pleased with our results for the fourth quarter and the full year of 2019 we are - to take advantage of continued growth opportunities in existing and new markets and believe we are well positioned to continue to grow our revenues, community and earnings, allowing LGI homes to continue on our journey to achieve our long term goal of becoming a top five builder and creating market leading returns for our shareholders.  Now we'll be happy to take your questions.
Operator: [Operator Instructions]. Our first question comes from Michael Rehaut from JP Morgan. Please go ahead. 
Michael Rehaut : First I just want to ask John if the absorption paste in the wedge was up almost 64%, this quarter and I was wondering what were some of the drivers of a stronger performance and what, which markets in the ride did you see the most improvement? And finally, how sustainable this rate? 
Eric Lipar : Yeah. A great question. We do see the last, the sustainable out of her community basis. You know, we had a really good year there really good quarter, um, highlighted by our first community in California. Getting off to a great start. You know, for the full year in California, we averaged 8.7 closing per community per month. So that's a above the company average and obviously a very strong average sales price, also had a great start in Las Vegas, we averaged 8.4 closings per month, hurricane unity in Las Vegas as well. So real, real strong year in the West. We talked about how much it was up, uh, year over year. And we do believe the strength in absorptions will continue, like we talked about overall as a company, 6.7 for three straight years. And then we also already released our January closing number up 61%. So we're off to a great start in 2020 as well.
Michael Rehaut : At least my next question because I look at 2020 closings and community calc growth guidance ranges, they seem to apply a roughly flat, maybe even a little bit down absorption rate year on year for the full year. So is there any, what were some of the drivers of that guidance of know flattish absorption rates? 
Eric Lipar: Yeah, I think you look at where we are in our guidance we think between 8400 and 9400 closings, it's in that 6 to 6.7 closings per community depending on how quickly the new communities come online. And 6.7 for three straight years is obviously been very strong community performance and we expect our existing communities to have similar closing for community, but cautious a little bit on our new community, someone online. And then also most of our growth is going to be outside of the state of Texas, especially in Florida and the Southeast. That overall average less closings per community as well. 
Operator: Our next question comes from the line of Carl Reichardt from BTIG. Please go ahead. 
Carl Reichardt : I wanted to ask Eric being, you talked a little bit about the Charles that community count cadence as you look through the quarters. Is it pretty equivalent quarter to quarter or is there a load in the front or back half of the year? 
Eric Lipar : Yeah, great question Carl. We already recorded our January community count of 105, we were down one over 2019, we expect statuary also to be at 105 or maybe 1 up or down off of January. So very similar community count for the end of February. And then our guidance is 120 to 130. So we think from March on through the end of the year, it'll be pretty consistent, community count grow leading to our guidance. 
Carl Reichardt : Okay. And then just that curiosity more than anything you have in the test at this point in the year, given an earnings per share guide and I'm just kind of curious why you didn't do it this year? 
Eric Lipar : Yeah, I think it's just a matter of we are focused on the things that we can control that that relates to the earnings per share and we thought it was important overlaps. There'll be years when we had the convertible debt instrument and the care account was pretty confusing to a lot of people. And this year we're just going to focus on the components that make up the earnings per share. And then it's really just a math equation forever to figure out where are we going to be in our guidance, real comfortable we're going to be in the range of all the components that make up earnings per share and the range gets really wide if you take the low end and high end of every component of that. So that's really it. 
Operator: At this time, I'm not showing any further questions. I'd like to turn the call over to Eric Lipar, LGI Homes’ CEO for closing remarks. 
Eric Lipar : Thanks everyone for participating on the call and your and for your interest in LGI Homes. We are just fading another solid year ahead. I look forward to updating you and sharing our achievements as the year unfolds. Have a great day. 
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.